Operator: As a reminder, this call is being recorded. Please proceed.
Brent Turner - Acadia Healthcare Co., Inc.: Good morning. I'm Brent Turner, President of Acadia Healthcare, and I'd like to welcome you to our third quarter 2018 conference call. To the extent any non-GAAP financial measures discussed in today's call, you will also find a reconciliation of that measure to the most directly comparable financial measure calculated according to GAAP on our website by viewing yesterday's news release under the Investors link. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Acadia's expected quarterly and annual financial performance for 2018 and beyond. For this purpose, any statements made during the call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects, and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in Acadia's filings with the Securities and Exchange Commission and in the company's third quarter news release, and consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. At this time, for opening remarks, I'll now turn the call over to our Chairman and Chief Executive Officer, Joey Jacobs.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Good morning, and thank you for being with us today for our third quarter conference call. In addition to Brent, I'm here today with our Chief Financial Officer, David Duckworth, and other members of our executive management team. David and I each have some remarks about the third quarter and our outlook for going forward in 2018. Then, we'll open the line for your question. Acadia produced solid growth of 6.2% in revenue for the third quarter. Our revenue growth continues to be driven primarily by organic growth, including a 6.2% increase in total same-facility for the quarter. This increase was mainly the result of adding 806 beds to our operations over the last 12 months. We added 132 beds during the third quarter and 408 in the first nine months of the year, and we expect to add more than 800 beds to existing and new facilities in 2018. Our 6.2% total same-facility revenue growth included a 2.4% increase in patient days and a 3.8% increase in revenue per patient day. U.S. same-facility revenue increased 7.2% for the quarter, with a 3.3% increase in patient days and a 3.8% increase in revenue per patient day. U.S. same-facility EBITDA margin increased 60 basis points to 27.4%. For our operations in the UK, same-facility revenue was up 4.4%, consisting of 1.3% increase in patient days and a 3.1% increase in revenue per patient day. Same-facility EBITDA margins declined 450 basis points to 16.9% for the quarter. Our operations in the UK were affected by a lower census and higher-than-expected operating expenses. Our operating costs were significantly higher, primarily due to the ongoing nursing and clinical staff shortage and our dependence on higher cost agency labor. The census in our existing healthcare business declined as we experienced a decrease in referrals from the NHS. Similar to industry trends, we continue to experience difficulty with recruiting nurses and clinical staff which requires us to utilize agency labor to fill those positions. Because our census did not reach its sufficient level to absorb the higher wages and other operating cost, our third quarter margins and earnings were adversely affected. We expect continued difficulties resulting from the nursing and clinical staff shortage for the foreseeable future. We signed definitive agreements for two acquisitions following the end of the third quarter. One was with Mission Treatment which operates nine comprehensive treatment centers for substance abuse with locations in California, Nevada, Arizona and Oklahoma. We also announced an agreement to acquire The Whittier Pavilion, a 71-bed inpatient psychiatric hospital in Haverhill, Massachusetts. Thanks for your time this morning and your interest in Acadia. Now, here's David Duckworth to discuss our financial results and guidance in more detail.
David M. Duckworth - Acadia Healthcare Co., Inc.: Thanks, Joey, and good morning. The company's revenue for the third quarter of 2018 was $760.9 million, an increase of 6.2% from $716.7 million for the third quarter of 2017. Adjusted earnings per share were $0.55 for the third quarter of 2018 compared with $0.58 for the third quarter last year. Adjusted EPS excludes transaction-related expenses of $2.4 million for the third quarter of 2018 and $5.7 million for the third quarter of 2017. The company's consolidated adjusted EBITDA for the third quarter of 2018 was $148.9 million or 19.6% of revenue. Acadia's operating cash flows from continuing operations were $288.7 million for the nine months ended September 30, 2018, compared with $272.6 million for the same period last year. Turning to our financial guidance, and as announced in yesterday's news release, we have adjusted our 2018 financial guidance based on the company's performance for the first nine months of the year and our expectations for the fourth quarter. Our full-year guidance is as follows: revenue of approximately $3 billion; adjusted EBITDA in a range of $605 million to $610 million; and adjusted diluted EPS in a range of $2.25 to $2.27. This concludes our prepared remarks this morning, and I'll now turn it over to Joey for some final comments.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Thank you, David. Before we move into Q&A, I want to briefly address the recent press reports and rumors regarding Acadia being approached by private equity firms. It is our company's policy not to comment on rumors or a speculation. That's all we will say today on this topic, so we ask that you keep your questions focused on our results. I will now ask Cathy to open the floor for your questions.
Operator: Thank you. And we'll go first to A. J. Rice of Credit Suisse.
A. J. Rice - Credit Suisse Securities (USA) LLC: Hi, everybody. Maybe two questions, if I could. First of all, there's also been some reporting, mainly in the financial press this quarter about regulatory issues that maybe the company has been facing. And I wanted to give you a chance to give any comments you'd like to give about that. And then also to ask you in the aftermath because it didn't seem to get picked up in the popular press. I would think there hasn't been any change in your interaction with regulators, but just to ask whether that is indeed the case.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Sure, A. J. Referring to the statements I've made in previous earnings calls concerning regulatory issues at a few of our facilities, I'm pleased to announce that all of those have been resolved and that those facilities do not have admission holds as of this time. As you know A. J., we're a large company with a large number of facilities. So at any time, we can have an inspection go bad or an incident occur or an investigation be instigated. But I'm pleased to report that for the ones we've been talking about this year, those facilities have their admission holds removed and have their license and are building back their census.
A. J. Rice - Credit Suisse Securities (USA) LLC: Okay. All right. And the other question I was going to ask was obviously about the UK operations. It sounds like the issues that you're experiencing are really more the market, not really anything you'd say with respect to your management team over there not doing what they should be doing. I want to confirm that that is indeed what you think. And then as you sort of said in your prepared remarks that this is – potentially could go on for a while. Does it make you think about capital allocations to the UK differently? Does it make you think about repositioning that portfolio somehow, I don't know what the options are? But give us some flavor for, okay, if this does persist, what can you do to try to at least minimize the impact on Acadia overall given that the U.S. operations still seem to be doing pretty well.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Sure, A. J. First, in the UK, absolutely, the nurse shortage continues and actually grows. So we see that occurring continuing and going forward. So that's the reason for the lower in the guidance. We do expect to hopefully rebound on the census to grow the census, however small it might be. But we do have beds coming online that the NHS wanted us to retool so that we could take those patients. However, unfortunately, when we get those patients, a part of that staffing will be nurse agency cost, but it would still be incremental positive to us. So, as far as capital deployment to the UK, we have a pretty stringent policy whether it's in the UK and the U.S. now about capital deployment. But it will be a little bit tougher for capital to be deployed in the UK. We are seeing a lot of activity here in the U.S. for the use of our capital. So we'll just take that a day at a time. But yes, we will be more careful about deploying capital to the UK.
A. J. Rice - Credit Suisse Securities (USA) LLC: Okay. All right. Thanks a lot.
Operator: Our next question will come from Kevin Fischbeck of Bank of America Merrill Lynch.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: All right. Great. Thanks. So, I guess, given some of those comments, do you think that kind of the margin profile that you showed this quarter in the UK is the right way to think about it at least for the next several quarters?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Well, Kevin, I think that is the profile for the next quarter, for sure. Could it go a little bit lower? Yes. But the team is working on making it, growing it. But it is tough all across UK for healthcare providers concerning this nurse and clinical staff shortage. So that does continue to put pressure on us and everybody. But our goal would be to improve the margin and we would have to get there through growing the census, incremental to the census, I think.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. Then, I guess, to that end, can you talk a little bit about what happened? You said that census was lower because the NHS had a decrease in referrals. Then, you also talked about them asking you to take – to add more beds. So, can you talk about what happened in the quarter or why that was an issue and how long it takes to fix itself?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Well, in this quarter, those are the holiday months over in the UK and we should have been more pessimistic in our budget for what the census would do. And yes, during the year, the NHS has come us and asked us to build beds for certain services and those beds are coming online. And so, both of those things occurred. The census was softer, but the NHS is asking us to build beds to meet the needs of the patients in the UK.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. So when do those kind of new referrals start to kick in?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: We already have some of the new referrals now, and we expect that to grow. But that does – Kevin, I can't predict does the existing base census soften a little. I hope it doesn't. I want it to grow. Everybody in the UK wants it to grow, and that's what we're focused on. But we'll just have to wait and see. But we're predicting more of the same for the fourth quarter that we saw in the third quarter.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: And then just maybe last question, because like 4.5% same-store growth is actually not a bad number, but obviously given the labor pressures, you need a higher number. What number do you think you need to get to on a same-store basis in the UK to be able to maintain margins?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Well, we know 4% won't do it. So we're going to – Kevin, quite frankly, we're going to have to have some relief on the premiums who are having to pay for the nurse agencies. There's got to be more staff, more nurses, more clinicians enter into this system. And we are actually, I think, going through this environment the best of any of the providers. The NHS, they have the worst of the problem. They have, I think, thousands of open positions for nurses. So that has to be fixed. We can grow the census and marginally improve the margin in earnings, hopefully, but it's really the salary and wages, that's the issue.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: All right. Great. Thanks.
Operator: We will now take a question from Matt Borsch of BMO Capital Markets.
Matthew Borsch - BMO Capital Markets (United States): Yes. Thank you. Just a little bit more on the UK. Can you just talk about your level of commitment to the UK as a market, given these results, and you look into 2019? I mean, I guess, one of the questions here in addition to the unfavorable developments and the uncertainty of Brexit impact is, given that they're an ocean away, does that impact your ability, top management's ability to be on top of trends in its closer way as you are in the U.S.?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: We have (00:16:30) hospital 40 minutes from us here at the corporate office. So I can keep an eye on that facility basically from my office. But the UK distance really is not an issue. They keep us up-to-date and we have enough detail to know what's happening over there. So a 17% EBITDA margin, that's okay. It's not what we expect, but that's a pretty good margin. And as Kevin mentioned earlier, more than a 4% revenue growth that would be a strong number here in the U.S. So we have some positive numbers and we're just weathering the storm and doing everything we can on the expense side to make a stronger asset today than we had yesterday.
Matthew Borsch - BMO Capital Markets (United States): Got it, got it. That makes sense. Has anything changed with respect to what you had talked about last quarter in terms of – last quarter you talked about the ability to bring in labor from the Commonwealth countries and how that was something that was helping, has the situation changed or is just that it's just tougher than you had hoped it would be for the second half?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: It is just tougher.
Matthew Borsch - BMO Capital Markets (United States): Okay.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: It is just tougher.
Matthew Borsch - BMO Capital Markets (United States): Thank you.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: And the government, yes, this is tougher. Thank you.
Matthew Borsch - BMO Capital Markets (United States): Yeah. Thank you.
Operator: And next we've got Peter Costa of Wells Fargo Securities.
Peter Heinz Costa - Wells Fargo Securities LLC: Hi. Thanks. Back to the same area. Couple questions, let's just start with the slowdown in NHS referrals to you, do you believe those referrals are going somewhere else, do you believe to competitors, do you believe you're staying with any test beds or is it just less demand?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: I don't think they're going to competitors. NHS maybe keeping them longer in the system before they get to us. But, quite frankly, just getting them through the system and getting them funded is the speed of the referrals. And, once again, during the third quarter, it slows down historically, and it did this time too, So we hope that the referrals will pick up in pace because everybody's back, but we're getting ready to head into the holidays, so we're trying to be a little bit conservative about that too. And we hope that the funding of the individual patient will happen at a quicker pace. So those are the things we're working on and talking to the referral sources over in the UK.
Peter Heinz Costa - Wells Fargo Securities LLC: Okay. Then, second question, the talk of your company being taken private has been more recent in the talk of you perhaps selling the UK assets, which extended some time ago. Did that talk ever filtrate down into the management of the UK facilities or perhaps to the NHS in terms of impacting their referral streams to you, so that conversation or that talk impacted your business?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: I didn't – I do not think so. No one's brought that to my attention.
Peter Heinz Costa - Wells Fargo Securities LLC: Okay. And then, lastly, can you give us some concrete things about what you're doing to improve the margins going forward here? For example, if you don't have the business, you could consolidate facilities perhaps. So, is there some mechanism that you can talk about, the concrete steps of how you're going to fix things?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Yes. We have more than 500 facilities there. We're looking at the lower number of performing facilities and what we can do with them. And worst case scenario, it would be that we would close them and that we're not adverse to doing that, or if we decided we could put 20 facilities together and maybe somebody would want them or whatever, we would look at that too. But primarily, if we can't turn around the lower performing facilities, then we will make a decision to close them.
Peter Heinz Costa - Wells Fargo Securities LLC: Do you have numbers to how many of those lower performing facilities fit that target list?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: We're going through that process right now.
Peter Heinz Costa - Wells Fargo Securities LLC: Okay. I'll leave it there. Thank you very much.
Operator: And now, our question will come from Brian Tanquilut from Jefferies.
Brian Gil Tanquilut - Jefferies LLC: Joey, just sorry to go back to the UK, but what changed...?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: No, you can't – Brian, you can't go back to the UK. Let's talk about the U.S.
Brian Gil Tanquilut - Jefferies LLC: I will not. (00:21:48)
Joey A. Jacobs - Acadia Healthcare Co., Inc.: ...7%.
Brian Gil Tanquilut - Jefferies LLC: Yeah. No, there'll be even that question. But just really quickly in the UK, the big drop in margins ...
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Sure.
Brian Gil Tanquilut - Jefferies LLC: ...we saw challenges in Q3 of last year and margins dropped to 21%. But the 450-basis-point drop, it just seemed really big and it seemed like the last few quarters you had your eye on the ball really closely on staffing. So, what blindsided you here in the quarter?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: The census was softer than our expectation. And then, we had to use – our discussions with the UK operators, we had to use more nurse agency expense just on the base patient. And then, on the new beds that we opened up that we utilized more nurse agency expense there. And the census – it takes a little while for that census to ramp up, I think we'll be fine once it ramps up. It will cover the additional costs of the agency nurse. But those are the two things that hit us in the third quarter, was the softening of the census, but more importantly the nurse agency just was too great.
Brian Gil Tanquilut - Jefferies LLC: Got it. And then – all right. I'll shift to the U.S. business now. So, pretty good same-store this quarter. How are you thinking about your ability to maintain or ratchet up that same-store volume trend, number one? And then, how are you thinking about potential facility closures in 2019 or any impact from news reports that it seemed like you're exiting some markets here in the U.S.?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Say that one more time, Brian.
Brian Gil Tanquilut - Jefferies LLC: Yeah. So your same-store volumes were stronger this quarter, so how are you thinking about the sustainability of that or your ability to ratchet that up? And then, the follow-up is just, I think there are reports that you're exiting some markets in the U.S. Just want to hear your thoughts on that and how that impacts 2019.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Sure, absolutely. First, absolutely, the key to this is building the beds. And we've got those beds coming online and we've got a group of de novo facilities and joint venture facilities that will be going into the same-store in addition to the beds that we have built at those facilities. So it is good to see that it looks like the U.S. census wants to grow same-store facility, wants to grow more than 3%. And you saw that in the third quarter. And I think that is a goal for us, is to get more than 3%, closer to the 4%. So as to your comment about ratcheting up, I think the potential for us to grow the census higher here does exist. Now, the only thing I'm aware of that we might be closing or we are closing is, we have an outpatient business in the state that we made a decision to close that due to the state not reimbursing us and they had cut reimbursement. So it didn't make the business model work and we reviewed that. And so, we are closing those outpatient services in that state, and it was the right decision to do.
Brian Gil Tanquilut - Jefferies LLC: All right. Got it. Thanks, Joey.
Operator: Our next question will come from Frank Morgan of RBC Capital Markets.
Frank George Morgan - RBC Capital Markets LLC: Good morning. I kind of want to go back to that last question in a little more detail. Obviously, when we start thinking about 2019 from what you're saying about the UK, we don't – tell me if I'm wrong, but I don't think we should expect a lot of improvement there. So my question is, in terms of how you can compensate for that in your U.S. operations either through margin expansion on your consolidated base today, but also perhaps even acquisitions. So if you could kind of give us a little color on perhaps how you could offset some of the lack of growth in the UK, how you can accelerate growth in the U.S. to maintain a higher overall growth enterprise. And then, specifically maybe even comment little bit about these acquisitions you've announced to-date. Thanks.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Sure, Frank. The key to here in the U.S. is to increase our occupancy and fill the beds we're building. They're absolutely in the same-store numbers that will drive that. And secondly, those facilities that A. J. talked about that had regulatory issues this year, if we can keep that to a minimum, that was me knocking on wood. If we can keep that to a minimum, that will improve the margin. So we have an opportunity here that if we'll execute and have a little good luck that we can grow the census and actually improve the margins here in the U.S. on the same-facility basis. So that is one way we can help offset some of the UK. And then as far as the acquisitions, we had been analyzing these acquisitions probably for the last five months and you probably have heard me mention it on the call that we would be making some acquisitions this year. And we like the facility up in Massachusetts, the Acute Hospital. As you know, we have one of our large joint ventures in Massachusetts and we have quite a bit of penetration on the CTC side in Massachusetts. And then the Mission acquisition, the CTC acquisition, this is a single owner that had started this business several years ago, had grown it, and was wanting to start planning for his retirement. And we were fortunate in that the team was able to negotiate that transaction also. So, we think they both fit us very well in existing businesses and markets. So, good acquisitions. Frank, are you still there?
Frank George Morgan - RBC Capital Markets LLC: I'm sorry. Yes. In terms of just sort of embedded growth potential in your U.S. operations from where you've had these issues and you can fill them up, do you have a number on like how many beds we're talking about that will be available if we were trying to get to a number on how much EBITDA growth potential there is from these underutilized beds?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: I don't have that number, Frank. I'm sure, in our analysis, working on this project, we have that. We're getting ready to do that. We're in the process of doing the 2019 budgets. So, I would be able to speak more about that in the first quarter about what the assumptions are for that in 2019.
Frank George Morgan - RBC Capital Markets LLC: Okay. One last one, do you think 2019 would be a year where you would make more acquisitions? Would you accelerate the pace of acquisitions in 2019 or is it going to be sort of a retrench in the UK and feel of what you've got in the U.S.? And I'll hop. Thank you.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Adequate, I mean, carefully deploying our capital, which means more of it will be going to the U.S. and we will make acquisitions next year. The number is still not – we haven't pegged a number. We'll just take them one at a time the opportunities. We have several joint ventures that we're looking at, so we'll just take it one at a time. Next question – person?
Operator: And we'll go now to Ana Gupte of Leerink Partners.
Ana Gupte - Leerink Partners LLC: Hey, thanks. Good morning.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Good morning.
Ana Gupte - Leerink Partners LLC: Thanks, yeah. The volumes look great. The revenue per patient, they also looks really good, and wanted to understand what the underlying drivers were, is it a mix issue around acute residential or payor mix or more psych versus addiction and what's the sustainability of that going into 2019?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: I'm going to let David take this question.
David M. Duckworth - Acadia Healthcare Co., Inc.: Yeah. Ana, the key driver in the revenue per day is payor increases from our different, payors, and we've seen increases for Medicaid, commercial, Medicare, really across all payor categories this year. That is the key driver of, as you know, we have added more acute beds, so that would be a small part of the growth would be the acute mix becoming stronger, but the key driver is rate increases.
Ana Gupte - Leerink Partners LLC: Okay. So underlying rate increases, got it. On the – then, on the length of stay, you've had a little bit of pressure here, it's obviously been offset by the volumes, and so you get good patient day growth. One of your peers has talked about this manage Medicaid mix shifting for a while and they continue to talk about that this quarter. Is that likely to accelerate for you or is your book of business pretty much kind of reaching a place where the length of stay pressures have reached a floor?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Ana, this is Joey. The length of stay is very stable. The length of stay for acute patients is nine days this year versus last year for this quarter, and it was nine days. The specialty is 21 days this year versus 21 days last year. And the RTC is basically the same as it was last year. What's driving it down is or mathematically what does this is the lower length of stay on more of the acute patients.
Ana Gupte - Leerink Partners LLC: Okay. All right.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: So our length of stay is not an issue internally.
Ana Gupte - Leerink Partners LLC: It's not an issue for you, okay. Yeah, I mean, it's very modest this time around compared to your just volumes anyways. And then the last one was on the labor on the U.S. side. Again, you've had a very good success recruiting, your markets are not the same as UHS. They did have some wage inflation pressure and I think they also talked about competition from some new entrants or maybe private companies, the PE investing was hard to understand really, but is there anything that might suggest that going forward in the U.S. too there will be wage pressure that should impact your margins or are you comfortable on that one?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Well, Ana, we feel pretty comfortable. We think we're going to be able to live with that 2% to 3% raise in wages next year as we go through our merit increases. There are – there will be and has been, there'll be a few isolated markets where we might have to do something different in those markets just because of not being able to fund the – all of staff we need, and we address those as one-offs. And so, that's how we'll approach 2019. So we feel good about the position that we're in. But, once again, we have different markets, that's right, and we probably have more rural markets. But we're okay. We'll do 2% to 3% in our budget for next year and hope to stay within that.
Ana Gupte - Leerink Partners LLC: Go it. Thanks so much. Appreciate it.
Operator: We will take our next question from John Ransom of Raymond James.
John W. Ransom - Raymond James & Associates, Inc.: Good morning. Let's just say hypothetically that the team decides or maybe the better part of valor is to look at maybe see if there's a buyer out there for UK and refocus on the U.S. Do you have any market feedback as to what kind of multiples assets are trading for over there?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: John, I'm going to pull out the no-comment answer.
John W. Ransom - Raymond James & Associates, Inc.: I had to try.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Okay.
John W. Ransom - Raymond James & Associates, Inc.: The other thing, you used to give an agency labor percentage number, latter part of last year, early part of this year. Obvious that number has gone up, but can you give us some ballpark range of how much that's up versus a year ago?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: David will give that to you.
David M. Duckworth - Acadia Healthcare Co., Inc.: Yeah. John, we have seen, as we mentioned, higher agency labor as a percentage of our total labor cost. That's 14% in the third quarter this year compared to just under 12% last year. And total labor cost, as a percentage of revenue, 68.5% this quarter and we were at 65% last year.
John W. Ransom - Raymond James & Associates, Inc.: So, David, what's the rule of thumb every 1%? Is it double the cost, is it something like that or what's the rule of thumb?
David M. Duckworth - Acadia Healthcare Co., Inc.: For every 1% of the contract increase.
John W. Ransom - Raymond James & Associates, Inc.: I'm sorry. I think you cut out there.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: We're having to pay a 30% premium to the agencies per a nursing hour.
John W. Ransom - Raymond James & Associates, Inc.: Got you. Okay.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: On average.
John W. Ransom - Raymond James & Associates, Inc.: And then, lastly, switching to the U.S., how should we think about over the next three or four quarters how new beds in the U.S. will come online?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Similar to how they've done this year, I think. I don't have that schedule with me. David will be glad to give that to you offline, John.
John W. Ransom - Raymond James & Associates, Inc.: Okay.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: But I think it's going to be similar to this year.
John W. Ransom - Raymond James & Associates, Inc.: And do you have an estimate – are the startup losses from de novo, not net ads, but brand-new facilities, does that ever hit – will that hit a point of materiality next year or is it just something you can absorb?
David M. Duckworth - Acadia Healthcare Co., Inc.: John, this is David. I think as we think about next year and we have had several de novos over the last 12 months. We have four different facilities incurring losses and we do see that continuing just as we have other projects coming online next year. But I do think as these four projects and new facilities mature, it would be potentially less of a loss number as we think about 2019 than it has been in 2018.
John W. Ransom - Raymond James & Associates, Inc.: What's your number for 2018, approximately?
David M. Duckworth - Acadia Healthcare Co., Inc.: Well, for the full-year, there's approximately $7 million of losses from that group of facilities.
John W. Ransom - Raymond James & Associates, Inc.: Okay. Got you. All right. Thanks so much.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Thanks, John.
Operator: We will now go to Gary Taylor of JPMorgan.
Gary P. Taylor - JPMorgan Securities LLC: Hi, good morning. Most of my questions are answered, just two left. Did I hear you guys talk about the DSO growth and the cause of that? Did I miss that?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: I couldn't hear you.
David M. Duckworth - Acadia Healthcare Co., Inc.: Gary, this is David. The DSO growth up – part of it is the de novo facilities that we have. We have seen our DSOs increase from 40 in the first part of this year to 42. Part of that is the de novos and that's just timing. We should see that return. Part of it is just, as we look at the calendar, the month of September, we did have just timing of payments that we expect to improve in the fourth quarter as well. So it's timing between collections in the month of September and then the working capital being built up for our de novo facilities.
Gary P. Taylor - JPMorgan Securities LLC: Got it. And then, just my second question, I don't recall if you've yet talked about bed growth guidance for 2019, but I'm asking the question in the context of planned capital spending, obviously, there's been a lot of de novo bed growth that had sort of driven CapEx you guys have been spending probably roughly 75% of your cash from ops on CapEx over the last several years. When you look at the trajectory of CapEx over the next couple, does that large majority of cash from ops invested in CapEx, does that continue to be the case or do you see an opportunity to bring CapEx down and free cash flow up?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: I think, Gary, with the opportunities we have to grow the company and to be in super-markets with these joint ventures and de novos that we'll continue to do that next year that if you're doing some modeling or whatever. So I think our CapEx spend will stay about the same. And I think we'll build somewhere hopefully between 700 to 800 beds just based on the number of de novos that we get finalized for the year. So that's our thoughts right now. Now, we'll be able to give you a better number of – at the end of the year call, because we'll have our budgets done and the initial capital allocations made.
Gary P. Taylor - JPMorgan Securities LLC: Got it. Thank you.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Thank you.
Operator: We will now take a question from Ralph Giacobbe of Citi.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Thanks. Good morning. Just a couple quick ones for me as well. I want to ask about length of stay in the UK, obviously admissions were down, but length of stay was up. It's a little bit of a different dynamic. Maybe just if this is you think kind of a one-off quarter. Just wanted to get any details on that, and if there's anything you sort of call out there.
Brent Turner - Acadia Healthcare Co., Inc.: Hey, Ralph. This is Brent. It's really just a mix of the patients there. I mean, we're not seeing any trends within each of the service lines, similar to the U.S. as far as a change over last year. But just given the mix of patients across the different service lines, that's really what's extended the length of stay. And also, in a period where you have a little lighter admission activity, just mathematically, you're going to have higher ALOS.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. All right. Fair enough. And then, I want to go back to a question earlier, I think in the past you had talked about potential, I think, it was regulatory relief around Brexit and the ability to bring in offshore staff. So where does that stand? Does that just kind of go away, or is that still in the works? Is there any specific sort of timing that you can provide around where that stands?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Well, they have made the change where we can now get staff from the Commonwealth countries. But that is becoming harder than we initially thought. And also, there's a unique requirement in the UK that you have psych certification if you're a nurse, and maybe some of the Commonwealth countries do not have that same requirement in their teaching. So if we got them here, we would have to educate them, get them educated, and then it appears that the government there actually canceled that course. So it's made it tougher for us.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. All right. And then, lastly for me, in the UK, is there any way to break down and just give a sense whether it's 10% of the facilities that are driving 80% of the pressures, or is it really broad-based and we shouldn't think of a smaller subset that's driving disproportionate pressure in the UK?
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Well, I think on the nurse agency, that's the one I can give you the best on. The nurse agency expenses, probably the vast majority of that expense is being driven by 10 large – 10 facilities.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. All right. Thank you very much.
Operator: And with that, that does conclude today's question-and-answer session. So I would like to turn things back to Joey Jacobs for any additional or closing comments.
Joey A. Jacobs - Acadia Healthcare Co., Inc.: Thank you, Cathy. Thanks again for being with us today and for your interest in Acadia Healthcare. If you have any additional questions today, please do not hesitate to contact us directly, and have a good day.
Operator: And again, ladies and gentlemen, that does conclude today's call. We thank you again for your participation. You may now disconnect.